Operator: Good day and welcome to the Cedar Fair First Quarter Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Stacy Frole. Please go ahead.
Stacy Frole: Thank you, Tracy. Good morning, and welcome to our first quarter earnings conference call. I am Stacy Frole, Cedar Fair’s Vice President of Investor Relations. Earlier today, we issued our 2015 first quarter earnings release. A copy of this release can be obtained on our website at www.cedarfair.com under Investor Relation, or by contacting our Investor Relations offices at 419-627-2233. On the call this morning are Matt Ouimet, our President and Chief Executive Officer; and Brian Witherow, our Executive Vice President and Chief Financial Officer. Before we begin, I need to caution you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from those described in such statements. You may refer to filings by the company with the SEC for a more detailed discussion of these risks. In compliance with SEC Regulation FD, this webcast is being made available to the media and the general public as well as analysts and investors because the webcast is opened to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Now I’ll turn the call over to Matt Ouimet.
Matt Ouimet: Thank you, Stacy, and good morning, everyone. As we mentioned during last quarter’s call, we are going to take a different approach today. Since our first quarter typically represents less than 5% of our expected full year net revenues, because most of our parks are closed for the winter season, we will provide only a brief summary of the first quarter result on this call and then spend the majority of our time discussing our longer term goals, strategies and initiatives. But just before I turn it over to Brian, I want to call out an important element of our business strategy that was particular evident to me as I toured the parks in preparation for our 2015 operating season. Cedar Fair is always been good at delivering great rides and attractions. And this year’s most notable entry Fury 325 at Carowinds is just laid it in a long history of record breaking coasters. Over the past two years, we’ve started to apply this same quality level commitment to our other lines of business. On the resort front, the newly refurbished Hotel Breakers exceed a point. We now provide accommodations that match the parts world class attraction. And the renovated and expanded Campgrounds at several of our parks now offer upscale cabins that are the first to fill up. On the retail front, the addition of Harmony Hall of 550 seat dining and entertainment facility at Carowinds has meaningfully improved the parks F&B per cap while reducing labor costs. Also the additional of innovation retail camps that like the New Candy Mega Store sweet spot that both Cedar Point and Kings Island are sure to be well received by guest of all ages. Lastly, new and renovated catering facilities at several of our parks including Cedar Point and Great America allow us to expand capacity and provide an enhanced guest experience for our catered event customers. It’s difficult to communicate asset quality in a call such as this, but I show these investments will make a difference to our guests and to our results in 2015 and for many years to come. I strongly encourage all of you to visit one of our parks and see firsthand what make Cedar Fair, a Cedar Fair. I would now like to turn the call over to Brian to discuss our 2015 first quarter financial results in more detail. Brain?
Brian Witherow: Thanks Matt. The first quarter net revenues are up $6 million or 16% to $47 million, while operating cost and expenses are up $3 million or 3%. As Matt just mentioned, our first quarter represents a small percentage of our annual operating results as it included first quarter operations from our only year-round amusement park, Knott’s Berry Farm, and the end of March opening weekends of three seasonal parks, Carowinds, Kings Dominion and Great America. During the first quarter, we generated record attendance along with increases in all revenue categories including admissions, food and beverage, merchandise and games, and accommodations. The 3% increase in cost is primarily related to the strong unit price performance in the quarter up 20% and its impact on the reporting of non-cash equity base compensation. We also saw a nominal increase in cost of goods sold due to the increase in attendance. Partially offsetting these increased was a decrease in the first quarter operating cost, primarily related to the timing differences on offseason maintenance projects and planned expenditures on 2015 OpEx initiatives. Turning to the first quarter balance sheet for a moment, the solid start to our 2015 season is also reflected in differed revenues which are up $23 million or 33% to $93million when compared with the first quarter last year. This increase has been driven by positive early season momentum in the sale of season passes as well as strong early adoption of our all season dining program, which is being rolled out broadly across all our parks this year. While the earlier timing of Easter and some accelerated promotional programs contributed to a portion of the first quarter increase in differed revenues, season pass and all season dining sales have continued to strong into April and differed revenues remained up more than 20% year-over-year. We continue to believe that our season pass base and our new all season dining program represent meaningful areas of growth for us in 2015 and beyond. As of today, we have seven parks opened for operations and an eight Dorney Park opens this weekend. I am pleased to say all of our 2015 capital investment projects have opened or scheduled to open on time and on budget. Delivering our new attractions at the early as possible day helps to reinforce the solid price value proposition we rely upon to drive strong attendance and per caps and encourage as early season visitation. Obviously we are pleased with our great start so far in 2015 as the positive first quarter trends in terms of attendance and guest spending have continued into April. These early season trends put us on pace to deliver what we believe will be our six straight record year, but it is important to remember that the vast majority of our 2015 results are yet to come. Now, I’ll turn the call back over to Matt.
Matt Ouimet: Thank you, Brian. In early 2012, Brain, Richard Zimmerman and I presented our fund FUNforward strategic plan that targeted $450 million or more in adjusted EBITDA by 2016. Within the plan, we identified several initiatives we are relying upon to achieve our goal. We are please to say this solid execution of the initiatives has products results that are ahead of what we had originally forecast. With this in mind over the past year, we worked actively with our Board of Directors to establish the next generation of FUNforward. In doing so, we paid special attention to what was happening outside of our parks. The including trends that would represent both opportunities and threats. We also focused on our core competencies, some like park operations and the delivery of world class attractions have long legacy. While other like CRM and management have been installed over the past few years. As we look forward, it was satisfying to reflect on how far we come since we started putting in new management team together in June of 2011, but we are not sad about the past, let’s talk about the future. Beginning of this new chapter, we launched the first generation of our new corporate website today www.cedarfair.com. This site will play an important role in communicating the new Cedar Fair to potential partners, investors, vendors and future employees. To be clear, Cedar Fair’s guest are loyal to their parks and while many of them may appreciated the collective Cedar Fair story, the individual park websites will still be the primary online to for our guests. But as we operate under a house of brand approach with each part owning a unique brand build over many years, our new corporate website will allow us to combine all that is happening into one cohesive story. The site reflects our corporate values and internal brand positioning as summarizing the brand positioning, we take upon seriously. The site will evolve dynamically as we determine how best to meet the various needs of this particular audience. I encourage all of you to visit the new corporate side over the next few days and monitor as our story moves forward. So where do we go from here, for external purposes, we are labeling the next generation of our strategic plan as FUNforward 2.0. Internally, we’ve referred to simply as more fun. Our new long term target is to grow adjusted EBITDA of $500 million or more by 2018. This implies an average growth rate of 4% over the next four years and is consistent with our original FUNforward growth rate. It is important to note here that we do not anticipate this growth to be linier due to the path were impacted short term macro factors can have on our operation, as well as the timing of returns on longer term investments. We’ve now have five teams that will drive our growth to 2018. These teams have evolved from the ones in our original FUNforward strategic plan but they still encompass our original initiatives and our mutually exclusive. Let me list them first and then I’ll explain them in the more detail. First, we will continue to focus on enhancing the guest experience in an effort to deliver a strong price value proposition targeting a quality family oriented audience. Second, we will focus on growing advanced purchase commitments for all of the products we offer in all of our attendance channels. Third, we will embrace digital technology in all aspects of our business. Fourth, we will continued to disciplined around the prioritization of capital and operating initiatives as we look to realize the full poor market of each of our parks. And fifth, we will pursue complimentary development adjacent to our parks. We’ll start with theme number one, which focuses on our ability to sustain our strong price value proposition by delivering a quality guest experience. In everything we do, our first focus is how this enhance the overall guest experience. Our ability to drive pricing rely the time of delivery of a quality guest experience including new rides and attractions, new live entertainment offerings and exceptional guest service, all of which drivers your peak vision. We continue to believe the overall Cedar Fair park experience provides a strong value proposition, especially when compared with alternative forms of entertainment such as movies sporting events and [indiscernible]. This comparative value and strong price value proposition intern supports our ability to the dynamically push pricing at our parks. Additionally over the past three years, we’ve built the technology and town infrastructure to support our CRM effort. The assembly of multiyear consumer data under one cohesive system not previously available does, while amplifies our customer communication efforts going forward. As an example, all of our direct communications now contain segmented messages and images most relevant to a particular household. We have never been better position to drive the right price to the right consumer with the right message at the right time. I also believe we will benefit from a more consistent approach to early season value pricing. Unlike the destination parks, where most can ready identify the peak and value season, the regional amusement park industry did not have similar clarity. At Cedar Fair, we’ve begun a multiyear commitment to marketing campaigns that will let value sensitive consumers know that the May, June timeframe provides both a great value and a great experience. Besides the direct benefits, early season demand provides us with greater pricing confidence throughout the balance of this season. We recognize that to optimize this early season opportunity is important to continue our tradition of opening our new rides and attractions as early in the season as possible. Timing in this category, we will remain discipline and all we do to continue to appeal to a wide family oriented audience. This target audience is economically preferred and supports a favorable in park experience for all. Our theme number two driving advance purchase commitments provide several benefits. By getting consumers to purchase admission tickets and other products ahead of time, we can use advanced purchase patterns to improve our visibility to market trend and enhance our revenue management capability, we build a buffer against traditional barriers to visitation such as weather and alternative entertainment option. And we gain favorable in parks spending elasticity from consumer who pay in advance. Among other things, our guest can now buy season passes are most valuable advance purchase offering as well as daily admission ticket, parking, dining plan and passes in advance of their visit. Our attractive installment payment programs have proven to be highly effective in growing our season pass base. Many of our CRM campaigns as well as in park season pass oriented special offers have already drove a increased season pass renewable rates across our system over the past two years and we plan to introduce an enhance season pass renewable program in the fall of 2015. In addition for 2015, we initiated numerous limited time sales of single day tickets that are only good for the early season, which typically means that ticket are good through June. These limited time offers include new campaigns such as Black Friday, Cyber Monday and President Day sales. Also these offers and advanced purchase they produce for 2015 have been very encouraging. Moving on the theme number three, we plan to further embrace digital technology in all aspects of our business. We are just now beginning to take advantage of all the digital innovations have to offer. Over the past year, we’ve been applying digital innovations to enhance the guest experience within our parks. Mostly notably in our Amusement Park rides such as Wonder Mountain's Guardian at our Canada's Wonderland and Voyage to the Iron Reef and Knott's Berry Farm which is start to debut next month. We’re actively perusing additional digital entertainment oriented applications they now only offer capital efficiencies but also great appeal for our guest through content and story line update. Based on the increasing importance of mobile app, we’ve established a new partnership with technology company that has developed a robust mobile platform for use within our parks. This new mobile app solution will allow to enhance the in park experience for our guests by providing them the conveniences and information they value, such as ride way time, way finding and show times. The app will also allow us to create a two way conversation with our guests which can drive increase in park spending and ensure the capture of valuable guest data for our CRM application. We are introducing this platform in two of our parks this year, Kings Island and Carowinds with the intention of a broader rollout in the near future. In park photo captures and other opportunity in the digital technology front, the popular of digital entering has grown rapidly and capturing and sharing memories and has always been central to the park experience. With the expiration of our previous photo imaging contracts in 2015, beginning next year, we will launch a new technologically advanced in park photo solution and pricing models that will feel to all of our guests with the accessory benefit of amplifying our social media marketing efforts. Another digitally based initiative is FunTV which continues to advance. We introduced FunTV at our parks in 2014 with a goal of creating a more effective platform for in parks sponsorships and corporate alliances. We are also committed using FunTV to engage and entertain guests as well as inform them a numerous park offerings where they wait inline. We continue to believe in this initiative and expected to generate a growing revenue stream over the next few years. Lastly, we’ve begun the process of rolling out Wi-Fi capacity to our parks. In 2015, these efforts will be concentrated just a few parks where we will pilot our Wi-Fi solution. It will take us a couple of years to install this capability in all of our but beside begin a fundamental guest expectation, it will provide an infrastructure for many of our system including the ones I just mentioned. In addition to these revenue generating initiatives, we remained focuses on our IT systems and infrastructure to ensure transaction and labor efficiencies in all touch point. We call this either purchase. Anytime you spend money with us, it should to intuitive, simple and fast. This is why we are modernizing the front grate at our largest parks, why we had a traffic lines at Carowinds and why we have flexible capacity for activating season passes during your first park visit. No one likes to wait and they certainly don’t like to wait to give you money. We have been successful in the past in identifying systems to enhance the guest experience, while at the same time reducing labor costs and we will continue to make it inefficient of the investments in this area going forward. Theme number four is maximizing our parks market potential to discipline capital and operating initiative. Having seen the early results from our expanded commitment to Carowinds, we are proud of our decision to make a major investment in this park. I encourage you to start at the entrance bridge and listen to guest’s appellatives as Fury 325 applies both over your head and under your feet. Shakopee [ph] is a vibrant market and we are moving forward aggressively to implement our plan to multiyear investment in Carowinds. At Knott's Berry Farm, where we continue to see the benefits establishing and delivering a differentiated brand positioning, the addition of family oriented attraction, entertainments and steepness fear to an already strong collection of thrill ride have been extraordinarily well received. Additionally special event programming provides multiple compelling reasons to visit the park over the course of the season. While we spent relatively modest amounts of CapEx at this park, we did increase our operating costs in an effort to enhance experience or entertainment around the park and we are clearly seeing the benefit through rapid attendant, guest spending and profit. We believe there are similar opportunities at our other parks that we will pursue over the next several years. We will build from experiences Knott's Berry Farm and Carowinds to critically evaluate the growth potential of our other existing parks. Even our largest parks Cedar Point has the potential for additional growth and the renovation of hotel breakers which is essentially complete provides an opportunity to increase the park super regional multiday positioning. Now that the hotel renovations are complete, we are going to lean end of the multiday poisoning for this park has any increase in multiday ticket will have a significant impact. Our fifth and final theme is to pursue complementary development adjacent to our parks. Mostly notable we have filed rezoning our Great America property which is adjacent to the new San Francisco 49ers stadium in Santa Clara, California. Ones the rezoning is complete, we will have more certainty in our ability to add new rides and attraction as well as our ability to consider complementary commercial development such as retail, hotel, dining and entertainment. This is a unique property in the unique market. We anticipate the rezoning to be completed within the next year. At Carowinds, we have identified two sites where we have the opportunity to expand overnight accommodations for our guests and the growing Charlotte market. This synergistic use of the property would help drive incremental attendance and create a consistent revenue stream. We are currently evaluation several options some of which would require little to know capital investment from Cedar Fair. We also believe there may be similar opportunities at our other properties. Now win in the five teams we laid out is the value we see from developing a broader range of third party partnership relationship. Existing relationships that we have, have had a positive impact on our business including our partnership with innovative right vendors as well as our partnerships of Coke [indiscernible] platform; Cramer-Krasselt, our ad agency; the San Francisco 49ers, Worldwide and several others have clearly had a positive impact on our business. As part of our scaling with the external entertainment landscape, we’ve initiated discussion with and our actively pursuing relationships with forward thinking companies where we see mutually beneficial synergies to take both companies to the next level. The companies we are talking about with generally fit within three categories. First, those who have product innovations that we can apply in our parks, we are helping them to understand how to commercialize their innovations in a way relevant to our business. These partners appreciate that we can provide commercial activation at a scale which is difficult to find anywhere else. Second, we are expanding our relationships with partners who have an establish product and the loyal audience to integrate consumers’ experiences with these product into their experiences related to our parks. Most importantly, we expect these type of partnerships to deliver incremental visitors through their already established distribution channels. And third, those who have particular expertise which extend beyond our core business, one such example would be real estate developers. As with all partnerships, the timeline to our implementation are less precise in the delivery of a new rollercoaster. This is distinctly different from the full control we have for the rides and attractions we like to purchase. However, the value potential is considerable. These are the highlights of the five themes we expect to drive our growth over the next several years. Now I’d like to turn the call back to Brian for a outlook and the key uses of pre-cash flow going forward after which we’ll open the call for questions. Brian?
Brian Witherow: Thanks Matt. As you are aware, we do our best to be as transparent as we can be in regard to the allocation of our cash flow. This is fairly easy business to model as cash is primarily allocated to four areas, cash used for debt obligations including interest payment; cash used for taxes; cash used for capital investments and cash used for inner older return primarily distributions. Going forward, we expect annual cash interest payments to be approximately $85 million as the majority of our debt has been fixed through long term fix rate notes or interest rate swap agreement. At this point in time given we are within our targeted leverage ratio range of three to four debt to adjusted EBITDA, we do not intend to make any additional debt payments outside of our regular amortization requirements. Cash taxes are expected to be $20 million to $25 million this year and will continue to increase into 2016 and 2017 as the remainder of our NOLs are used up. Based on our performance projections, our current entity structure and an effective tax rate of approximately 28%, cash taxes are expected to increase to north of $50 million in the next few years. Over the past year, we’ve been analyzing various ways to optimize our entity structure. The options we’ve identified could result an effective tax rate approaching 25% an additional cash tax savings. However, we have more work to do as we analyze the implications of these options. We expect our review to be completed by the end of this year. On the capital investment front, we continue to believe investing new rides and attractions at our parks is critical to driving long term growth. For 2015, our capital program is at a peak level a $170 million driven in large part by the hotel breakers renovation project at Cedar Point, as well as aggressive investment projects at Carowinds as we look to transform this park into our big park. Given our confidence in the Charlotte market, we plan to continue to be aggressive in our capital investments at this park going forward. Our capital plans will also continue to place and emphasis on building to scale in all of our projects as we believe it differentiates our parks and helps to protect the integrity of our business model for years to come. The level of capital spending which aligns with our $500 million adjusted EBITDA target is in the range of $130 million a year. This not only includes new rides and attractions but also a continuing investment in our park’s infrastructures. Spending above this level could occur if we identify incremental opportunities with compelling returns. Finally and most importantly, the remainder of our free cash flow will be returned to our unit holders through increased distributions as we have historically done. We are proud of our ability to aggressively grow our distribution of the past several years and we believe we are well positioned with a solid sheet, appropriate liquidity reserve and a positive earnings outlook to continue this trend going forward. To be clear, our goal remains provide a growing distribution in a steady and liner path. With that we now like to open up the call for questions. Tracy?
Operator: [Operator Instructions] We’ll go first to Afua Ahwoi.
Afua Ahwoi: Thanks. Good morning. One question, first I think in past given the current fiscal year or calendar year guidance, hit in the first, so is there, why is there, can you share with us to help us think about, I think it’s a long term guidance. And then the follow-up question on the - I think you mentioned is for the partnership established products with all companies of established productions, are you talking about some sort of IT or rise, I am just trying to get more specifics on that. Thank you.
Matt Ouimet: Sure. Good morning. So first let me linear little bit on 2015. I don’t want this audience to read anything into are not giving annual guidance as to anything less than absolute confidence in where we end up in 2015. So we have seen over the course of time that forecast, is it necessarily as helpful as it used to be, maybe there is for certain analyst. By the way I will acknowledge. And so we’ve decided to go to the long term targets. The other reason we want to do that is to make sure that we are making the best decisions both short and long terms. So we’re not going to provide annual guidance anymore, I think that the long term guidance probably fills that bill. On the second question, is that group does include as part of that group, people who have been electoral property that we’ve started to establish relationships with that we think can have a unique role in our parts and I am hopeful that that comes to lighter with the next six months.
Operator: And we’ll go next to Tim Conder from Wells Fargo Securities.
Tim Conder: Thank you. Matt, I just wanted to review the long term guidance, this is first question here. What revenue do you have baked into that or Matt or Brain either one. And then secondly, is it relates to overall season passes. Can you give us a little more color on the units, are those trending year-over-year, the attach rate, the dining pass. And then any consideration you guys are giving, I think you know you’ve said you’d look at it and maybe just give us an updated color related to looking at a more membership type modeling, you have the monthly payments available but more of the membership title models and what’s done elsewhere in the industry?
Brian Witherow: Tim, it’s Brain. I’ll tackle the first couple of parts of that. As far as season pass trending, we - as we said on the call, we are very pleased with the early progress and trends that we’ve seen not only in season pass in terms of the numbers of units, but also the season pass dining program that’s being broadly rolled out. We’re not going to break out the level of detail between those but I can tell you from an adoption rate perspective at the park level, we are pacing ahead of our original plan and strongly enough at certain parks that we’ve already begun review taking pricing up and in fact one park in particular and that’s Berry Farm, we have taken pricing up on that as that park but in daily operations from day one. So we feel very good about where we are both of those product lines and initiatives. As far as the long term guidance has concerned, we talked to the 500 million of EBITDA line representing a 4% CAGR. I think we would expect something very similar to top line, maybe a little insight of that we are not pushing at this point or talking to growing margins dramatically at this point in time. That continues to be an areas or metric of focus for us but it’s not the end. So we’ll continue to make the right investments in the OpEx as we’ve talked as well as CapEx. But I think you can anticipate a top line growth rate that something close to that same 4%.
Matt Ouimet: And then Tim, this is Matt. Good morning. As to your other question about the potential of other programs, season pass programs, we have done a considerable amount of work. The ethic to our customer base and so I don’t want to go into details today about what the renewal program that will be. But at this point in time, you can anticipate that our path with be a little different than maybe others are doing in the industry, because I think our consumer base is different. So we are excited about the program will roll out this fall and I’ll lead with that for this call.
Operator: We’ll go next to Joel Simkins from Credit Suisse.
Christie Frederick: This is Christie Frederick for Joel. I just had a question about the increased distribution that you mentioned, how should investors think about an increased dividend versus potentially repurchasing stock in the future.
Matt Ouimet: I’ll take that and Brain you can part along. Look, the core investment of these was proceed are fairly remains a fact that we need to produce the optimal amount of free cash flow and continue to grow the distribution aggressively and sustainably. And so that is the priority at this point in time, stock buyback is not a priority on our list.
Christie Frederick: Great, thanks.
Operator: We’ll go next to Barton Crockett from FBR Capital Markets.
Barton Crockett: Hi, thanks for taking the question. I was curious about the - about a couple of things, one is how you see current forecast fund this year, you have such strong growth in the differed revenues type of season pass from the all season dining, you know sometimes that can difference the that’s like a per capital that we see as we change the mix. Does that a phenomena that you expect to see this year or not? That’s my first question. And I guess the second question that is here is, if you could give us some detail on the tax structures your reviewing and get that MLP related or something completely different?
Matt Ouimet: Yeah, so Barton, your first question and - they are both good question I should say. Your first question though, we do have a little higher season pass mix in our attendance for the first quarter. But as Brain referenced we also saw increases in per cap spending in the parks. So we aren’t experiencing that traditional phenomena, we did a lot of work last year to understand season long spending of our season pass holders and we’re approaching at a little differently and again for purposes of this call, probably not appropriate to go into. But we have not seen the dilution of the per cap yet even though we have a higher mix of season pass hesitation so far this year. Now again keep in mind, it’s one small quarter and primarily now it’s vary from.
Brian Witherow: Barton, it’s Brain. As it relates to the tax structure, I mean first let me remind everyone that the overall tax structure that we put back in place in 2006 with the parks acquisition has been very efficient and beneficial to the company and our unit holder over the years. However as the business results have continued to grow, we’ve begun to use of those NOLs and benefits that from those NOLs have begun to dry out. So as we look at a various options, we more contemplating in a number of scenarios of some of which where we would basically super charge our partnership structure. I think we have to remember the MLP structure are unique, assets up to Cedar Fair that we don’t want to just walk away from. But as we look at super charging that structure to reduce the overall effective tax rate, keep in mind that the gross income that we earn under those partnership structures are subject to a PTP excise fact, so it’s a zero some gain necessarily. So we’ll continue to do our homework. As we said on the call, we’ll be better positioned later year to comment on the direction of what we are go in, but there are certain limitation and certain things that we have to keep in mind the excess tax and the PTP structure being one of those. And the fact that we have for an interest in the case of Canada’s Wonderland that we won’t be able to get necessarily out of the partnership structure, those were are into the partnership structure I should say. So there are going to certain assets that will always reside in the C-corp entity world and that will continue to be the case going forward.
Operator: We’ll take our next question from Josh Borstein - Longbow Research.
Josh Borstein: Hi good morning, everyone. Thanks for taking my questions here. You’d mentioned you probably not likely to go towards the membership pass model and you referenced the fact that your customers are a little bit different than maybe some of your regional part peers. I am just wondering if you can comment a little bit about how those - how your customers maybe a little bit different is because on the face of it we would seen that your customers should be similar to some of your regional peers. Thanks.
Matt Ouimet: Yeah, I’ll Josh, but obviously I don’t have - the information I have is specific to us and I know that we have - that the data we have within the case that we have a larger percentage of family attending as family and that is one of the characteristics that differentiate us. We’ve also seen through our research that our customer does not seem to have an appeal for certain devices that are in membership systems more broadly, not just in our industry. So we think we have other levers available to us that will encourage more renewal. The other thing I should say is what, our renewal rate have been growing very well for the last years and I credit that to our CRM system where we are now able to have an active and relevant dialog with each of our season pass holder particularly. In the new hotel platform we are going to put in place will be particularly effective with our season pass holder. So I think we’re just - you can play different play books, ours is just going to be a little different.
Josh Borstein: Great, thank you. And then just a follow-up, if you can talk about the advance bookings for the hotel breakers, it sounds like that’s on scheduled, just what that might say about the business prospects for the year. And in the press release you mentioned that catering adjacent to the hotel, could you discuss what it is if it’s included those at the breakers, as it going to an add on option.
Matt Ouimet: So the second is the first, which is the catering facility in the hotel which we just walked yesterday are both going to be phenomenal assets. As the catering facility primarily services large ground would catered meal and so those of your trips groups bands, the company picnics and those pavilions are the scale now that will allow us to provide both better service and a better experience. And though that’s my opening comments, I think it’s important for people to get out to our parks and walk these assets to understand perhaps what differentiate us. The hotel is the same thing, this hotel is going to allow us to jump start the multiday positioning towards Cedar Point, it is - it is maybe the most important invest that we’ve made over system I’ve done here. So I am encouraged by that. The early season booking trend is positive but I got you know again it’s so small and the lead time for booking in our business is relatively short. So I don’t want you to read too much into that, but the quality asset is dramatically different from what it was before.
Josh Borstein: Thank you.
Operator: We’ll take our next question from Tim Conder from Wells Fargo Securities.
Tim Conder: Thank you. Just wanted to little bit of clarity on FX plan, just a little more color in the quarter have been more importantly for the year that relates to Canada’s Wonderland?
Brian Witherow: Sure Tim. As it relates to the quarter given Canada’s Wonderland wasn’t in operation. There is really no material or meaningful impact on Q1. As we said in our year-end call, all depending on what’s your outlook is for the Canadian dollar long term. But based on the projection that we’ve seen, we would estimate the potential impact at the EBITDA like could be somewhere between 5 million to 10 million for 2015. So more than it was last year, but still in the grand scheme of things not overly burdensome on the full year EBITDA.
Tim Conder: Okay and if I may just circling back, I know again maybe that for slight component and there is variability in the focuses on the long term here. But your bookings that you are going achieve your full 50 goal for ’16 that’s on track, that’s ahead of plan, just any color on that would - the timing of that would that be expected towards that early then, was that material effectively saying by ’15 and then we go on and focus more on ’18, just anything you can offer there?
Matt Ouimet: Yeah, all I would say Tim is we feel very confident that we are going to find that milestone relatively shortly and all things considered and that’s why we moved on to the $500 million. But all indication for 2015 are positive, we feel good not only about the program we put in the place but the people we have in place, things like our CRM system, things like the products we’ve introduced, rollercoaster here at Cedar Point, it is an outstanding coaster. So you know Tim we are leaning into ’15 and hopefully we’ll see that.
Tim Conder: Okay, great and that’s it. Thanks Matt.
Matt Ouimet: Okay, thank you, Tim.
Operator: [Operator Instructions] We’ll go next to Ray Cheesman from Anfield Capital.
Ray Cheesman: Matt, I was wondering if as you start this new season, are you expecting to see any kind of those weather, school, calendar, challenges that some other parks faced last year?
Matt Ouimet: We don’t anticipate that right.
Ray Cheesman: Terrific. The other thing I wondered was, we again are staring a new season out of substantially lower fuel cost or let’s fuel bleed of the family’s disposable budget, do you think that’s having any impact on you with the renewal rates, growth rates or the addition of people addition on in all season dining pass to what they might have had before?
Matt Ouimet: You know what we’ve traditionally said is when gas prices go up, we don’t seem to lose attendance. So I think within electoral integrity, I don’t know that we’re going to see incremental attendance associated with it. Where we do expect to see is some in park spending in last just should gas prices to stay down measurably, that’s normally where we would experience that dynamic.
Ray Cheesman: Thanks very much.
Matt Ouimet: Thank you.
Operator: And there are no other questions at the queue at this time. I’d like to turn the conference back over to our moderators.
Matt Ouimet: Thanks first of all. Thanks everybody for your question and your continued interest and ongoing support for Cedar Fair. As I am sure or hope you can tell from our comments today, we are proud of what we’ve accomplished over the past four years and even more excited about what is in store for us in the next four including 2015, which we certainly expect to be another record year for Cedar Fair. Finally I’ll say I encourage all you again to visit our park this summer and experience firsthand the Cedar Fair difference. Tracy?
Stacy Frole: Thank you everyone for joining us on the call today. Should you have any follow-up questions, please feel free to contact our Investor Relations department at 419 627-2233. We look forward to speaking with you again in about three months to discuss our second quarter results.